Emma Culver: Good morning, everyone and welcome to the Bannerman Energy Quarterly Webinar Update for the March 2025 Quarter. For those of you that don’t know me, I am Emma Culver, the Investor Relations and Communications Manager at Bannerman. And I’d like to thank you all for joining us this morning. I am joined today by our Executive Chairman, Brandon Munro, who will provide an update on the quarter, an update on the Etango project in Namibia and the progress that we have been making. Following this, we will move into Q&A. Many of you are probably most familiar with the Zoom, but at the bottom of the screen, you’ll see the Q&A in the toolbar there. Just type in your questions there and we will move through them at the end. Many of you know Brandon. He has deep uranium sector experience. He is currently a member of the World Nuclear Association Director General’s Advisory Council. And for now, I will hand you over to Brandon. Brandon, thank you for joining us this morning.
Brandon Munro: Thank you, Em, and good morning, good evening or good afternoon, to everybody who is joining us. Thank you for joining us to hear about what’s been a very productive quarterly and a really important time to be talking about stability and financial prudence here, given the background of what’s happening in the broader market. So against that backdrop which, of course, is extreme volatility, great uncertainty associated with North American trade policies and what’s some of the announcements coming out at a fairly rapid fire case from the White House. I’d hope that you’ll see from this quarter that Bannerman is presenting a picture of stability and prudence. The key points from the quarterly, I think Emma, if we can go to that next slide. So really the key points distilled into three bullets here is the early works instruction activities are tracking in line with budget and schedule. I’ll show you some pictures just now to give you an idea of the scale. But what I’d like you to understand here is that we are achieving a lot for a very constrained level of expenditure and our CEO, Gavin Chamberlain and his team are doing a very good job on the ground. It’s on budget, it’s on time or ahead of time, and it’s being done safely. So we couldn’t be happier with the work that’s taking place in Namibia in our Etango project. We continue to make progress on both financing and offtake discussions, although, as you will see from the text of the quarterly both of those work streams are highly contingent on us doing the right job, timing those work streams for sentiment in the uranium market and to a lesser extent, sentiment in the equities market. We don’t see that sentiment at the moment, but we have put ourselves in a very favorable position that, that is not to the detriment of shareholder value and we can talk about that during questions. And look, finally, you should have the confidence in our financial leadership right now. We’ve still got very strong cash balance, $68.8 million. We have progressed the project to a very significant degree during the quarter, whilst maintaining that financial discipline and financial prudence. So of the cash expenditure during the quarter, $11.7 million has gone into the ground, into the project. So, that’s exploration and development expenditure, with the G&A running where it should do at about $200,000 a month. So that gives us a lot of flexibility. You’ll see from the disclosures that our committed expenditure in U.S. dollars has stayed the same as where it was last quarter, but because of the exchange rate movement, it’s edged up a little bit, but still at around $26 million. So that leaves more than $40 million available to us for extended working capital runway, if you are feeling uncertain about the world right now and otherwise gives us a lot of flexibility by discretionary spending as to how we move this project forward. Now, let’s have a quick look at what we are achieving on the ground. And hopefully you’re starting to follow the images that Emma Culver and her team have been putting out. There is a huge amount going on. And what we can see there is now the primary crusher site has been fully excavated. Those lines that you see moving up to the top right, one is the conveyor belt line and the other is the access road. You can see the towers installed just to the – just below the access road. And what I’d like you to see from this is, first of all, the site conditions really couldn’t be better for a large scale mine. There is no clearing. There is obviously no people. It’s a very flat site. And that’s certainly to our advantage with the progress we are making. The next slide, all of our construction, power, overhead infrastructure is in place now. The transformers installed and this infrastructure that will serve us during the operational phase as well. Next slide, so again, you can see the stockpile tunnel, the final blasting is being completed. That’s a slightly different view there from the off the site. In the top left, you can see some of our water infrastructure at the reservoir that’s still in place. Next slide, Emma. And importantly, we are now making very good progress readying the site for the next step, for the heap leaching pad area. The advantage to us at this stage of the process of this being a heap leaching operation and not a more involved tank leaching operation, is there is a lot less equipment and there is a lot more construction. There is a lot more earthworks. So that means that we can really get ahead of the game week with the award of this bulk earthworks contract, which is a 24-month contract that’s probably about 6 months in. It means that we can continue delivering this high value work for very constrained cash impact and the next step once that heap leach pad area has been prepped, as we can see the progress from this slide would be the installation of the drainage layer and preparation of those heap leach pads themselves. Now that’s a contract that we expect to be finalized in this coming quarter, the June quarter, but we don’t need to award it in the quarter unless it suits us. So again, it just enables us to have a very strong level of control on how quickly we progress this project and construction, but also how quickly we spend our financial resources and how quickly we choose to reduce our balance sheet strength. So there was a fly over for those who arrived early to the presentation. Emma, I think it might be useful once we wrap it up, if we just allow the webinar to run for next couple of minutes and run that drone footage for anyone who wants to stick around for another minute and a half or so, it really does give you an excellent feel for how much going onsite. It gives you a good feel for how big this site is, how extensive the mine is. But what I really want investors and shareholders to understand here is that we are blessed with a technically simple mining operation with an extensively tested heap leaching processing solution that gives us a real edge. It means that it’s a simple mine. We’ve tested it and de-risked it to the nth degree. The heap leaching gives us a very cost effective, relatively cheap processing option, which makes this mine work. It makes the economics robust and it gives us a real differentiator when we move into the commissioning phase. Because of its simplicity, it doesn’t attach the same level of risk that many other restarts or greenfield projects would have. And so with those opening comments, I think we can go straight into Q&A now. Em?
A - Emma Culver: Yes. Thanks, Brandon. So our first question today, can you comment on the recent Namibia, Russia nuclear partnership talks?
Brandon Munro: Sure, I certainly can. So those of you who follow the long-term progress that the Russian state owned Rosatom entity has been making in the Global South would know that they have had preliminary up to advance talks with a range of nations in Africa. And those advanced talks are yielding construction in Egypt right now, but countries moving along the nuclear path in many parts of Africa. Namibia is at a very advanced stage with that. It does have a fairly small grid, so the potential for conventional reactors is probably fairly low, although it would be a candidate for a couple of SMRs over time. Whether the talks yield anything, well, that remains to be seen. But in common with just about every developing country in the world, nuclear power is very attractive to Namibia. And I suppose the question behind the question here is, well, should we be concerned in any way about Russian involvement in Namibia? And the answer is no, Namibia has had a multilateral facing foreign policy since its independence. It’s maintained good relations with Russia, but equally, it’s maintained good relations with the U.S., with Europe, with Australia, and for that matter, China. And we don’t see any threat from that, but we certainly see a lot of advantage that Namibian uranium can be sold around the world.
Emma Culver: Brandon, how do you view the bottom uranium market from supply and demand deficit? Do you see the recent heavy rainfalls and any impact from Rossing or Husab adding extra pressure to the supply side?
Brandon Munro: Yes. Let’s start with the more detailed aspect to that question first. We are not aware of any significant supply impacts on Rossing or Husab. It’s worth distinguishing Paladin’s experience from Rossing and Husab, their Langer Heinrich mine. Rossing and Husab are both primary deposits like Etango. In other words, their massive granite intrusions that get obviously blown up and then crushed up and then turned into ore and in their case, tank leached. And as I have said, we are blessed to be able to heap leach very cost effectively at Etango. So the key difference is, when granite gets wet, it dries effectively, immediately. So whilst both of those pits would have had water incursion as a result of those heavy rain events, they would have been able to dewater those pits fairly quickly and get back to normal operations within a limited number of days. So from what we are hearing on the ground and what we expect technically, we don’t anticipate any impact on those operations. I think what’s more relevant to the supply picture around the world is that supply, pretty much everywhere, particularly new supply, is underperforming according to expectations. You see that with just about all of the restarts around the world, including in the U.S., if somebody is hopeful of seeing a supply gap close up. As they go back to their modeling, they will see a range of greenfield projects who are either choosing to take their time as we are waiting for markets to appropriately tighten up or through permitting and other issues, they are finding themselves delayed, whether that’s permitting in Canada or affecting some of the big projects coming in there or geopolitical issues such as what we saw in this year, having very marked effects on the greenfield potential there. So supply and demand, I think the basic principles are, demand is as strong as ever, with near-term demand shocks showing some potential, primarily driven by AI thirst for energy and in particular a first sort of prime source of energy that can drive always on data centers, which of course, is nuclear power. That first is driving very near-term effects. The most notable are these three restarts, restarted reactors in the U.S. and the potential for other reactors to be brought online quickly in the U.S. and elsewhere. But also, more importantly, uprates. The reason I say they are more important is an uprate, so we are talking about an increase in the electrical capacity, the output of a nuclear reactor, uprates can be achieved fairly quickly, between about 5% and 10%. So this is low hanging fruit, such as changing the refueling cycle so that you can run the reactor for longer without needing to stop it and refuel it. That can give you a pretty easy 5% increase in the output. Interestingly, it’s not the most efficient way to consume your uranium, so it achieves a little bit more than a 5% impact on the fuel demand. But of course, that’s a good thing for us. To get beyond that 5% to 10% requires more investment, but it still produces a result faster than building a new nuclear power plant. So we are seeing upgrades contributing to the demand picture driven by this immediate, urgent, insatiable thirst for power that’s coming from AI and data center and robotics. So, the demand picture looks very, very strong. We have well and truly turned the corner over the last couple of years from the era where you were taking a couple of steps forward on new reactors, but then one step back because a reactor gets closed, any of the political decision-making against nuclear power has run its course. And now it simply presents upside in markets like Taiwan and Spain, where inevitably they are going to have to dial back their anti-nuclear political decisions and that will create its own form of market shock. You then compare that to supply. We are just not seeing progress in supply. Supply is fragile in many different markets, restarts have been have under delivered compared to what utilities would have hoped. Greenfields are holding back for better market conditions or for political reasons such as Indonesia and new greenfields on the horizon are proving themselves for political and permitting reasons to be illicit. So utility expectations on supply are performing pretty much the way that on the mining side we always knew they would, but that wasn’t obvious to utility. So there is that supply and demand imbalance that’s becoming more and more apparent. Now the final comment I’ll make on this, and I think this is pretty important for anyone trying to make sense of the uranium market, like I’d be surprised if you haven’t spoken to me recently, if you are not saying, well, hang on a sec, Brandon, how can supply and demand be so good? And then I am looking at a price that’s $80 on term price still isn’t moving and we’ve got a spot price that’s in the doldrums. So when it comes to term price, I’d like everyone to understand something that’s really important for making sense of that equation and that is that in our sector, I like to think about demand as real demand and visible demand. And equally supply, you’ve got real supply and visible supply. So let’s take out what real demand and supply is. That’s probably what you think it is. Real supply is what’s mined, plus the contribution from secondary supply. Real demand is what’s consumed in nuclear reactors around the world, including first loads for new nuclear reactors. Now, in most commodities, there is pretty much a match between real and visible supply and demand. In the uranium sector, real and visible supply is about the same, because whatever is mined around the world is sold around the world. You know give or take you’ve had periods in the recent past where the big miners have actually oversold their production. So visible supply has been a little bit more than demand, actual supply, but more or less it trades the same way. The big difference in our sector is that visible demand is what utilities are contracting, and they are under contracting. They are not yet reaching replacement level contracts. So the visible supply is less, the visible demand is less than the actual demand. This market is not yet behaving in an economic sense where supply and demand is achieving an equilibrium. It’s behaving as if the supply deficit doesn’t exist because the visible demand is less than the actual demand. Now the reason that’s so important is really three reasons. First of all, it helps you understand that in the situation where we know that there isn’t enough uranium being mined or being sourced from secondary suppliers to actually fill the requirements of utility, it explains why we aren’t currently in an upward price trajectory like we should be simply because the supply and demand that’s visible to the market is matching out where we are. But more importantly for investors, as we see utilities move from drawing down inventories into replacement level contracting, they will necessarily expose that imbalance between visible supply and demand and as visible demand starts to achieve levels near actual levels of demand, in other words, utilities are buying as a whole what they consume, you can expect to see significant pressure on uranium prices. And then the third aspect is, at some point we expect utilities as a whole to recognize the fraught supply demand picture that is emerging from the early 2030s and beyond. And the one lever that utilities have to be able to insulate themselves from that very strained supply and demand picture that’s often called a deficit or a crisis or insert appropriate investor word here, the only way they can insulate themselves in the short-term is by building up their stockpiles and restockpiling. Now again, that would take a situation where the visible demand exceeds potentially quite dramatically what is available supply. Very important metrics to track as an investor, Cameco does a great job of talking to the degree to which contracting so far lags replacement levels. And I think you can watch their commentary, and, of course, talk to us about it, to try and track that dynamic.
Emma Culver: Thanks, Brandon. And what do you see as a trigger to shift sentiment to be more positive in the sector?
Brandon Munro: So I think it’s going to take one of two forms. Sentiment in this sector right now, and I’m going to talk about investor sentiment, but it applies to a large degree to uranium sector sentiment and decisions that are being made in the spot market right now. The first form, which is easy to identify, but very hard to predict, is some level of supply catalyst. And there is numerous catalysts that we could see that will knock that fragile supply picture and shift the calculus of market participants. And that’s one that may or may not happen in the next 6 to 12 months. You just can’t predict it, but you can make a pretty good list of supplies catalysts that could really set this market on fire. And that is the reality of a fragile supply picture in a sector like uranium. Now, on the other side, it’s anything that reverses the negative sentiment picture that we have at the moment, but most predominantly some degree of certainty on policy making in the U.S. and for that matter, the geopolitical implications. So right now, uranium sector sentiment is very low, because of the uncertainty, predominantly around tariffs and other trade barriers. Utilities and other market participants simply don’t want to commit themselves right now until they feel confident that they won’t have tariffs imposed on the uranium. Now you will see that we’ve included some analysis in our quarterly report explaining that the uranium products that we will be producing and that are traded in the spot – in the term market has been exempted from tariffs. I would add that there is a couple of technicalities that are still being resolved on Canadian uranium, but we expect to see them resolved and clarified to give our colleagues in the Canadian sector that confidence as well. So it looks like the picture is clear for now at least, that uranium won’t be included. And the same applies to UF6 and other nuclear fuel products. So that’s been an important step, because until fairly recently, as you’ll see from the dates that we’ve put in the quarterly, that has been a huge overhang on any activity that utilities would want to undertake, whether it’s the spot market, whether it’s instructing traders to purchase in the spot and carry trade it out for future delivery or enter into term contracts. What remains now is the utilities having the confidence that that policy is going to stick. The other aspect of subdued sentiment has just been a variety of different investor related assumptions around the uranium sector. And most of those feed into short selling narratives. And it’s a little bit hard when you are deep in the sector to interpret these narratives. And I just have to keep reminding myself, they don’t need to be grounded in reality. They just have to have enough of an appeal to create a short selling narrative. So, for example, one of the prime short selling narratives that was driving the huge number of shorts on ASX uranium stocks was that, oh, gee, Trump’s coming now. He is talking about normalizing relationships with Russia, or he is going to then resolve the Ukrainian war in 24 hours. That’s going to be bad for uranium. Now, we know that it won’t be bad for uranium. It might be a little bit of a hard sell for a very small number of U.S. producers of uranium, but in terms of effect, it won’t be bad for uranium. It will lead to a normalization of EUP and enrichment supply that will give utilities both U.S. and outside the U.S. the confidence to get on with their term contracting and their normal purchases of uranium. Russia doesn’t export a material amount of uranium. They only export what they are allowed to that’s embedded in EUP. They don’t want to become an exporter of uranium, because they need it all for themselves anyway. So, normalization with Russia is not a threat to the uranium market. However, you have got to sit down with the short seller and have a good half an hour with them to convince them of that, and that’s not how short selling narratives always work. Then the next short selling narrative was that, well, the utilities are paralyzed now because the tariffs and the short trade can control financial pressures on the spot market, and therefore, with an amount of supply that’s coming into the spot market, such as the traded supply that comes out of Uzbek production, well, we are just going to see a spot price drift. Now, that was a well formulated narrative. However, with utilities now evolving in their confidence to be able to become a marketing participant, again, we see that that narrative will now need to unwind. So, for what it’s worth, any hedge funds out there that are watching this wondering whether it’s time to start covering. In our view, it certainly is because we think that utilities via both the carry trade and its direct participants in the spot market will start to create that discretionary demand that will quickly neutralize the non-discretionary produced supply that’s coming into the spot market. And we see, over a fairly short period of time, an upward trajectory in the spot price. And I think we are starting to see the first sign to that. Many of you would have noticed the capitalization of the ETF, particularly the spot driven ETFs, and a large number of substantial shareholder notices that have come out in the last couple of days showing substantial buying at the end of last quarter. That from our tracking in our register has continued in Bannerman, which therefore means it continued in the other stocks that are attracting those indexes. So, there is a lot of index buying at the moment. And if the pattern now is similar to other inflection points in this sector, including during 2021 when the Sprott Physical Uranium Trust was just getting started, that’s a strong indicator that the smart money coming out of the U.S. is ready to reverse the short trade. And as only volatility in the uranium sector can bear out, we will probably see a lot of those very successful short trades start to reverse and start to become long trades. So, that’s something we are looking for. Sentiment is a difficult beast to define, and unless you can define it, it’s hard to understand exactly how it’s going to change and pivot. There is a lot of money just flowing into gold right now, that’s the easy trade. However, the discussions that I have been having with investors and our own analysis suggest that we are somewhere near, if not the bottom pivot point in the way that the uranium trade is going to flow. So, we are watching those signals very closely as many of the people who are on this call.
Emma Culver: Thanks Brandon. And we are close to time here, but we have just got a couple questions. One is around what long-term price is Bannerman looking for to start production? So, it’s probably best to talk to a little bit of how we have the Board views the contract book, and how that would be structured. The other question here is, how would you characterize the global regions where contract buying interest is mostly coming from? And I think they are probably, if we can tie those two together?
Brandon Munro: Yes. Great. So, regionally, the driver for the next round of contracts we see is predominantly being the U.S. And to a lesser extent, the growth oriented European utilities you would have seen that Czech, the Czech giant has recently announced the contract with Kazatomprom. And the reason the U.S. is playing a big role in this next round of contracting is our feedback, talking directly to the U.S. and other – to the U.S. utilities and other market participants is that these utilities, or a number of these U.S. utilities, have been ready to roll on their contract procurement process for some time that they wanted to see a bit of stability coming from. First of all, into the U.S. election, then the inauguration, and then of course, everything has been up in the air. Now, that’s important because it is quite a process for a utility to initiate a term contract in tender. They have got layers of approval that they go through internally. It needs to accord with their broad based procurement process, and it’s not a quick decision that they can make. The fact that they have kind of got bullets in the chamber now ready to deliver on these procurement contracts means that when the time is right, we are likely to see multiple U.S. utilities come into the term contracting market at the same time. And that’s not a dynamic that we have seen for a long time in the uranium sector. Even last year, when there were a number of contracts written, we didn’t see more than three market RFQs in place at any point in time. So, that’s the dynamic that we are looking forward to, and we have positioned ourselves as Bannerman for. And in terms of the question, look, I think everyone on the call understands that I can’t answer that question directly and start telling you at x dollars, we are going to fill our boots here. However, what I can say is there is no single contract price for us. It’s not as binary as that. We would expect to have about a dozen contracts for our initial 3.5 million pounds of production from Etango. We had the opportunity to layer those contracts. So, the terms and conditions on which we would write our first contract are not indicative of the terms and conditions that we would hold out for in those final layers. The reality for writing a contract books such as ours is you are going to have a mix of base price escalated. So, you pick a price at the moment, that trading price is approximately $80, you escalate it for, for example, U.S. inflation and over the life of that contract and market related which we would insist on flaws and would therefore need to offer ceilings. The initial contracts that we would write in the current market, the market related contracts are not very attractive because they tend to get dragged down to the spot price. However, we are seeing, as everyone can see, fairly attractive contracts for that layer of a base price escalated. Now, over time, we would want to continue improving that contract book, and as we get closer to our production date, you can tend to ramp up the commercial strength that you have got in those negotiations. And we would look to improve both the value of the overall contracting portfolio and ensure we have got the appropriate mix of market related and base price escalated. If you read the commentary in our quarterly, we have tried to give a succinct explanation, but really, what it’s about is, it’s about protecting a minimum bottom line and ensuring the financial stability and sustainability of our mine, at the same time giving an appropriate level of exposure to upside in the uranium market. The final point I would make is, we are blessed because we don’t have a singular opportunity to capture the next 5 years or 10 years of value in this sector, and that’s because we can readily expand our project from 3.5 million pounds to 6.7 million pounds. So, the contract portfolio that we write to get into production at 3.5 million pounds is not the ultimate investor exposure to Etango, because in a rising price environment beyond our initial production, we can then capture that via the expansion, if we choose to go down that route.
Emma Culver: And Brandon, any thoughts on the Sprott cash shortage. And then just also, speaking about Sprott, can you comment with the list in the substantials and what you see historically as a lead on future pricing outcomes.
Brandon Munro: Yes. Great. And look, I am aware of the time, so I am sure some people will have to drop off. But it won’t surprise any of you to know that I am happy to continue talking, right. So, first of all, the Sprott cash crisis, or whatever you want to call it, that’s simply a short selling narrative. You can look through that noise very comfortably. If you haven’t followed it, basically the narrative goes like this. Sprott has administrative and storage and fee based costs that they pay back to their manager Sprott Inc. And their cash balance is down to something like $8 million now. They haven’t been able to issue new units for a long time, because they have been trading at a discount in line with sentiment, and they can only issue new units when they are trading above their net asset value per unit. The reason why it’s an attractive short narrative is there is some speculation that the same investors who have created the short trade in these uranium stocks are also in a position to sell Sprott units if they start to get close to an NAV premium. So, they feel that this is a trade that they can exert some control and influence over. Now, here is the thing. The narrative goes, Sprott is going to get low on cash, and the only thing they can do, if they can issue new units, is flog uranium, and that’s going to somehow open a fluke gate, and we are going to feed uranium, filling in utilities and doing all sorts of other wonderful things for the short narrative. It’s a naïve narrative, frankly, and John Ciampaglia has been on various platforms explaining this. So, they have got alternatives that are far more attractive to them than selling uranium. The most, the simplest alternative is they have got 66 million pounds, and there are attractive location stocks around the world. Those 66 million pounds are fairly evenly spread around three converters, French, U.S. and Canadian. From time-to-time you see location slots. You are seeing that at the moment, because of geopolitical tensions and tariffs and trade wars. They can quite readily reallocate their holdings from, for example, Canada to the U.S. or U.S. to France, and achieve those location slots. And earlier in the tariff war, I heard John Ciampaglia say that the location swap on [indiscernible] held uranium was $2.50 a pound. So, they can make $2.50 a pound without doing anything to their balance sheet. That makes a whole lot more sense than going selling uranium. And I heard John say on a Crux interview a couple of days ago that there is a couple of transactions in place to do that. So, I just – I think that’s a false narrative, a poorly constructed narrative that is fairly easy to dispel. Now, in terms of the question of the Sprott substantial notices, so it appears to be driven by ETFs, the Sprott ETFs, rather than discretionary buying within Sprott funds. Although there might be some of that at the margin, we don’t know. The pattern previously has been a little bit like this. Smart money in the U.S., who are able to read signals very well, position themselves in equities, either through ETFs, or they position themselves directly into stocks. And we are certainly seeing evidence of that through ETF in flags and the substantial amount of buying that the Sprott driven or Sprott managed ETFs had to execute at the end of last month, and have continued to execute since. Interestingly, there is obviously a bit of panic selling out there, because they have been able to train those holdings without putting a huge bomb under prices, which will be attractive for people wanting to get further exposure to those stocks. The next part of the pattern that we have seen in the past is that the uranium price goes up and it goes up either because of the fundamentals that are driving those initial purchase position or they go up because the Sprott Physical Uranium Trust starts become capitalized and re-enters the market as a buyer. Now with any pattern, it’s not proof, it’s simply an indicator, but that pattern accords very strongly with the observations and the insights that we are gaining from the uranium sector right now. I feel very strongly that $65 as a spot price is not an indicator of the uranium sector right now. It’s an indicator of the very limited set of circumstances that I described to before and a break in the factors that are constraining the spot price to $65 is likely to lead to a fairly quick escalation in that spot price. And when you look across the Board at uranium equities right now, including Bannerman share price, they are screening very, very cheap. It seems like a sensible move by people who have got levels of confidence and insight into what’s happening in the U.S., in particular, that they are loading up on equities ahead of a move in the spot price. Now, we will add a little bit of, I was going to say kerosene to the fire, but it’s a little bit more like just pouring jet fuel on it really because there is still huge short positions in some companies, and that short unwinding if there is a trigger, either like I have said before, either a supply driven fundamental trigger in our sector, or a triggering sentiment. But the short covering on those positions would need to be dramatic, particularly if it’s in the context of a widely understood trade where there is a broad awareness that all the shorts starting to cover now. Most sellers at that point would hold back. And in our case, we have got, until recently, we had 6.5% short coverage. Not too bad, but it’s up dramatically from less than 1% at the end of last year, when the short covering was more stock specific. Now that’s more than 10 days to cover. But that 10 days of normal liquidity, the number of days to cover where all of the sellers are holding back, expecting a short sleeve that can run into multiples of those 10 days to cover and can really put a lot of upward pressure on a share price. So, we don’t know, it’s the answer, but the signals are starting to suggest that the ingredients for this sector returning to a normalization of values and a normalization of trading in the spot market and therefore sentiment, it seems to be coming closer. And if it comes closer, driven by those sort of dynamics, then we might see really quite a dramatic move.
Emma Culver: Great. Thanks Brandon. And just circling back the last question that we have here, just back on RFPs, are you seeing longer terms in those RFPs that are coming to market now?
Brandon Munro: Well, the answer is no, we aren’t seeing a lot of RFPs coming to the market. My comments earlier were our expectation of RFPs, the request for proposal coming into the market. Now, in terms of what we expect, I am not seeing any reason why we will expect longer terms at the moment. We did see a period of longer terms, in other words, a greater number of years of the duration of that contract when we were reorienting Eastern European and Central European supply away from Russia and towards Westinghouse. And that’s just because of the nature of those fairly singular supply arrangements, and together with a dynamic where enrichment capacity was being added, but the enrichers were demanding longer term contracts, which were then being, I suppose matched off again to longer term supply. That was back in 2022, so everything that we have seen since then has resulted in a bit of a normalization. So, for a first time producer, that’s sort of 5 years to 7 years. For an established producer, it can be 7 years to 10 years. And I would add that, like in the EU for example, you need your Adam special approval to go beyond 10 years with the contract. So, you don’t tend to see contracts beyond 10 years. Now, this is a relevant consideration when you start projecting forward, particularly towards the limited number of greenfield projects that can deliver into this uranium supply deficit and the particular geopolitics that will apply at the moment. We are seeing through our strategic financing process that the key driver for market participants considering an investment into a project and/or a financing of a project rather than just simply being a customer, is the difference between a 7-year – 5-year, 7-year, 10-year contract and having life of mine access to that uranium. And the tension in the uranium sector that we anticipate building over the course of the second half of this year. That tension expresses itself in price. It expresses itself in appetite for long-term contracting, but it also expresses itself in the way that utilities and other market participants regard the premium that they can attach to long-term life of mine off take, as opposed to the shorter term contractual protection that they have via a long-term contract. And with a massive resource, well over 200 million pounds at Etango, a initial mine life of 15 years that we can demonstrate to ‘27 that’s likely to go multi decades. Etango is extremely well positioned as that calculus starts to change, and as utilities and other market participants say, the next round of contracting only gets us to the beginning of the supply crisis. It doesn’t actually protect us from the supply crisis coming in from the mid-2030s. That’s where you get big upgrades in the financial metrics that market participants are prepared to engage with in order to secure that longer term supply.
Emma Culver: Great. Thank you, Brandon. We will leave it there. If there are any other questions, please reach out to myself or Brandon, always available, and I believe that you all have my e-mail address from our communications that have been sent out. I will leave you now with the short minute and a half slide through the drawing footage of what’s happening at site for anyone that can see it, and please reach out to us if there is anything, and enjoy the long weekend if you are in Australia. Thank you, Brandon for joining us this morning.
Brandon Munro: And thanks everyone for tuning in. I would say that we had really good participation on this and look forward to continuing to showcase a really outstanding journey with Etango and Bannerman.